Operator: Hello. And welcome to Citi's first quarter 2025 earnings call. Today's call will be hosted by Jennifer Landis, head of Citi Investor Relations. We ask that you please hold all questions until the completion of the formal remarks at which time you'll be given instructions for the question and answer session. Also, as a reminder, this conference is being recorded today. If you have any objections, please disconnect at this time. Miss Landis, you may begin.
Jennifer Landis: Thank you, operator. Good morning, and thank you all for joining our first quarter 2025 earnings call. I'm joined today by our Chief Executive Officer, Jane Fraser, and our Chief Financial Officer, Mark Mason. I'd like to remind you that today's presentation, which is available for download on our website, citigroup.com, may contain forward-looking statements which are based on management's current expectations and are subject to uncertainty and changes in circumstances. Actual results may differ materially from these statements due to a variety of factors including those described in our earnings materials as well as in our SEC filings. And with that, I'll turn it over to Jane.
Jane Fraser: Thank you, Jennifer. And a very good morning to everyone. First, I'm going to discuss our first quarter results and then talk about the environment we're operating in and how we are positioning the bank for it. This morning, we reported net income of $4.1 billion and earnings per share of $1.96 with an ROTCE of 9.1%. Overall, it was a strong quarter, marked by continued momentum in each of our five businesses. We maintained a disciplined approach to our expenses, which declined by 5% year over year. We delivered our third consecutive quarter of positive operating leverage for each of our five lines of business, and the fourth consecutive quarter for the firm overall. We increased both our return on tangible common equity in each business and our return of capital to our shareholders. And this quarter is a further proof point of how the consistent execution of our strategy is improving our performance. Services recorded its highest first quarter revenue in a decade. TCS continues to demonstrate momentum in the key underlying drivers, the US solar clearing cross, and grew its assets under custody and administration to $26 trillion. Markets had a good quarter with revenue up 12%. The three most significant fixed income businesses, rates, spread products, and FX, each contributed to an overall 8% increase over last year. And in a good macro quarter for equities, we were up 23% as we continued with our long-term strategy to augment our high derivative share with a larger prime business. Banking was up 12% as we continue to gain share in investment banking across most industry sectors. Most notably, M&A revenue nearly doubled. We're seeing the benefits of our talent investments, as you can see by the leading role we played in some of the year's biggest transactions, such as advising Aalpare on the Siemens acquisition, and on the recently announced intracellular transaction by J&J. Turning to wealth, all three businesses contributed to overall growth of 24%, and fee revenue drove non-interest revenue growth of 16%. We remain focused on capturing assets our clients have to offer as demonstrated by the roughly 11% organic growth in client investment. Andy and his new team are making excellent progress executing our strategy, with the business delivering record revenue this quarter and improved efficiency and returns. USBB was up 2%, driven mainly by increased loan balances and spending in branded cards. The high credit quality of our cards portfolio reflects the focus we've put on prime consumers, and our portfolio continues to perform in line with our expectations. Overall, USBB's return increased to nearly 13%. During the quarter, we returned $2.8 billion in capital to our shareholders, including $1.75 billion of buybacks as part of our $20 billion plan, which is about $250 million more than we had originally guided. That's our highest quarterly amount since 2022 and demonstrates our commitment to returning capital. We ended the quarter with a CET1 ratio of 13.4%, and our tangible book value per share increased to $90. Turning to our strategic priorities, our transformation investments continue to modernize our infrastructure, simplify our processes, and reduce manual touchpoints. During the quarter, we retired legacy applications and automated reconciliations, to name but a few accomplishments. We're also integrating AI directly into our business operations to improve the client experience. The latest example is Agent Assist, our first generative AI tool for customer service in US personal banking. It is designed to help our team resolve inquiries faster and is now being piloted in credit cards. From quarter to quarter, we are building on our track record of progress, and I am confident in our ability to continue delivering despite the uncertainty of the moment. In terms of the macro environment, I am not going to try to predict the unpredictable. While our corporate and consumer clients are resilient and in good financial health, the world is in a wait-and-see mode and is facing a more negative macro outlook than anyone had anticipated at the beginning of the year. And we know that prolonged uncertainty generally hurts confidence. The changes underway globally will go beyond trade and tariffs. In the US, for example, regulation and tax policy are all likely to look different in a year's time. And these changes will not only have economic impact but geopolitical and cultural ones as well. We appreciate the administration taking a fresh look at regulations across all industries to unlock growth. We welcome the changes being discussed in our own industry to place more focus on material financial risks and to make it easier for banks to contribute to economic growth and to improve client service. When all is said and done, and these long-standing trade imbalances and other structural shifts, the US will still be the world's leading economy, and the dollar will remain the reserve currency. The deep knowledge and breadth of capabilities that we have from decades on the ground in so many local markets are real points of distinction when serving our clients. From reconfiguring their supply chains to addressing their hedging and funding approaches to advising on their strategic agenda, I am very confident that we have built a strategy based on a diversified business mix that will perform in a wide range of macro scenarios and is differentiating in times like these. With capital strength, plentiful liquidity, and strong reserves, we can navigate through any environment from a position of strength. In periods of stress, we have shown that we are a port during the storm for our clients, the global markets, and the economy. And this time is no different. We are ready to lean in. As I look forward to the rest of the year, we should remain disciplined about returning capital and managing our expenses whilst protecting necessary investments in our businesses as well as our transformation. And we shall not allow the uncertainty to distract us from executing our strategy and improving our returns. Now over to Mark, and then we will be happy to take your questions.
Mark Mason: Thanks, Jane. Good morning, everyone. I'm going to start with the firm-wide financial results focusing on year-over-year comparisons unless I indicate otherwise, and then review the performance of our businesses in greater detail. On slide six, we show financial results for the full firm. This quarter, we reported net income of $4.1 billion, EPS of $1.96, and an ROTCE of 9.1% on $21.6 billion of revenues, generating positive operating leverage for the firm and in each of our five businesses. Total revenues were up 3%, driven by growth in each of our businesses, largely offset by a decline in all other. Net interest income excluding markets was up 2%, driven by USPB, wealth, and services, largely offset by declines in all other and banking. Non-interest revenues excluding markets were down 6% as better results in banking and wealth were more than offset by declines in all other, USPB, and services. And total markets revenues were up 12%. Expenses of $13.4 billion were down 5%. Cost of credit was $2.7 billion, primarily consisting of net credit losses in card as well as a firm-wide net ACL build reflecting the uncertainty and deterioration in the macroeconomic outlook. Before I move on, I would like to note that certain card transaction processing fees paid primarily to networks were previously presented in operating expenses and are now presented as a contra revenue and non-interest revenue, primarily impacting USPB. This change does not impact net income, and prior periods have been aligned. We provided additional detail in the appendix of the presentation on slide twenty-two. On slide seven, we show the expense trend over the past five quarters. As we've said in the past, we are very focused on bringing down our expense base. At the same time, the transformation remains our number one priority, and we will continue to make the investments needed specifically as it relates to data and regulatory reporting. Having said that, the drivers of our expense reduction going forward remain consistent with those that we have referenced in the past. Savings related to stranded cost reduction, productivity from our prior investments, and our organizational simplification, all of which allow us to self-fund our investments in transformation. As we look at this quarter, expenses declined by 5%, which included a favorable FX impact. The decline was driven by a smaller FDIC special assessment, absence of a restructuring charge, and lower compensation, partially offset by increases in technology, communications, professional fees related to transformation, as well as advertising and marketing. And looking at the rest of the year, we remain on track to meet our full-year expense target. On slide eight, we show key consumer and corporate credit metrics. As I mentioned, the firm's cost of credit was $2.7 billion, primarily consisting of net credit losses in cards as well as a firm-wide net ACL build. The ACL build reflects uncertainty and deterioration in the macroeconomic outlook, including a further skew to the downside scenario in our CECL framework. Our reserves now incorporate an eight-quarter weighted average unemployment rate of 5.1%, which includes a downside scenario average unemployment rate of 6.7%. Largely offsetting this build was a release related to lower balances in our card portfolio. At the end of the quarter, we had $22.8 billion in total reserves with a reserve to funded loans ratio of 2.7%. Now turning to consumer credit on the left-hand side of the page. Approximately 85% of our card portfolios are to consumers with FICO scores of 660 or higher. NCL rates increased sequentially in both card portfolios, consistent with historical seasonal patterns, and we continue to see stabilization in delinquency rates across both portfolios. And our reserve to funded loan ratio in our card portfolio is 8.2%. And corporate non-accrual loans remain low, reflecting the investment-grade nature of our portfolio. Based on the quality and mix of our portfolio, but as always, we continue to monitor the evolving macroeconomic outlook. Turning to slide nine, where I will speak to sequential variance. Citi's $2.6 trillion balance sheet increased 9%, driven by growth in trading-related assets, which is typical given the seasonal increase. We also built out our cash position as we let investment securities roll off and opportunistically issued long-term debt. Loans increased 1%, driven by services and markets, largely offset by lower balances in cards. Our $1.3 trillion deposit base remains well-diversified across regions, industries, customers, and account types, and increased 2%, primarily driven by services. We reported a 117% average LCR and maintained $960 billion of available liquidity resources. We ended the quarter with a preliminary 13.4% CET1 ratio, down approximately 20 basis points as net income was more than offset by capital distributions, RWA growth, and higher DTA deduction. We continue to feel very good about the strength and quality of our balance sheet, and our robust capital and liquidity position us well to support our clients in a range of economic environments. Turning to the businesses on slide ten. We show the results for services in the first quarter. Services revenues were up 3%, driven by growth in TTS. NII increased 5%, driven by higher deposit spreads as well as an increase in deposits and loan balances. NIR declined 4%, driven by the absence of certain episodic fees and security services, as well as higher revenue share and the impact of FX across both TTS and security services. That said, we continue to see strength in underlying fee drivers across the business, as you can see on the bottom right-hand side of the page. Expenses declined 3%, largely driven by lower deposit insurance costs, severance, and legal expenses. Average loans increased 6%, driven by continued demand for export agency finance as well as working capital loans. Average deposits increased 2% as we continue to see growth in operating deposits. Services generated positive operating leverage for the third consecutive quarter and delivered net income of $1.6 billion and continued to deliver a high ROTCE of 26.2%. On slide eleven, we show the results for markets in the first quarter. Markets revenues were up 12%, driven by growth across both fixed income and equity. Fixed income revenues increased 8%, with rates and currencies up 9%, reflecting increased client activity, and spread products and other fixed income up 7%, driven by higher client activity and loan growth. Equities revenues increased 23%, primarily driven by equity derivatives, on increased market volatility and higher client activity and momentum in prime services, with prime balances up approximately 16%. Expenses increased 2%, driven by higher volume and other revenue-related expenses. Cost of credit was $201 million, primarily related to spread products, driven by net credit losses and a net ACL build. Average loans increased 7%, driven by financing activity and spread products. Markets generated positive operating leverage for the fourth consecutive quarter and delivered net income of $1.8 billion and an ROTCE of 14.3%. On slide twelve, we show the results for banking in the first quarter. Banking revenues were up 12%, driven by growth in investment banking, as well as the impact of mark-to-market on loan hedges, partially offset by a decline in corporate lending. Investment banking fees increased 14%, with growth in M&A partially offset by declines in DCM and ECM. M&A was up 84% as we gained share overall and across numerous sectors. DCM was down 3% compared to our near-record first quarter last year. And ECM was down 26% amid a pullback in the wallet for follow-ons and convertibles. Corporate lending revenues excluding mark-to-market on loan hedges declined 1% as increases in revenue share were more than offset by the combined impact of lower loan balances and higher recoveries in the prior year. Expenses declined 12%, largely driven by lower compensation, as we see the benefit of our prior actions to rightsize the workforce and expense base. Cost of credit was $214 million, consisting of an ACL build of $180 million driven by changes in the macroeconomic outlook and net credit losses. Banking generated positive operating leverage for the fifth consecutive quarter and delivered net income of $543 million and an ROTCE of 10.7%. On slide thirteen, we show the results for wealth in the first quarter. Wealth revenues were up 24%, with growth across Citi Gold, the private bank, and Wealth at Work. NII increased 30%, driven by higher deposit spreads partially offset by lower deposit balances. And NIR increased 16%, primarily driven by growth in investment fee revenues as we grew client investment assets by 16%. This includes net new investment assets of $16.5 billion in the quarter and over $56 billion in the last twelve months, representing approximately 11% organic growth. Expenses were roughly flat as the benefits of our prior actions to rightsize the workforce and expense base, as well as lower technology expenses, were offset by higher revenue-related expenses and severance. End-of-period client balances increased 7%, driven by higher net new investment asset flows and market valuation. Average loans declined 2% as we continue to be strategic in deploying the balance sheet to support growth in client investment assets. Average deposits also declined 2%, driven by a shift in deposits to higher-yielding investments on Citi's platform and other operating outflows, largely offset by client transfers from USPB, reflecting our ability to support clients as their wealth and investment needs evolve. Wealth had a pre-tax margin of 17% and generated positive operating leverage for the fourth consecutive quarter, and delivered net income of $284 million and an ROTCE of 9.4%. On slide fourteen, we show the results for US Personal Bank in the first quarter. US personal banking revenues were up 2%, driven by growth in branded cards and retail banking, largely offset by a decline in retail services. Branded cards revenues increased 9%, with interest-earning balance growth of 8%, and we continue to see spend growth, which was up 3%. Retail banking revenues increased 17%, driven by the impact of higher deposit spreads. And in retail services, revenues declined 11%, primarily driven by higher partner payment accruals. Expenses were roughly flat due to continued productivity savings offset by higher advertising and marketing, as well as legal expenses. Cost of credit was $1.8 billion, consisting of net credit losses partially offset by a net ACL release of $172 million. This included a build related to changes in the portfolio composition and macroeconomic outlook, which was more than offset by a release due to lower card balances largely in retail services. Notwithstanding this release, our cards reserve to funded loan ratio increased to 8.2% from 7.9% last quarter. Average deposits declined 11%, driven by client transfers to wealth that I just mentioned. USPB generated positive operating leverage for the tenth consecutive quarter, and delivered net income of $745 million and an ROTCE of 12.9%. On slide fifteen, we show results for all other on a managed basis, which includes corporate other and legacy franchises and excludes divestiture-related items. Revenues declined 39%, with declines across both corporate other and legacy franchises. Corporate other was largely driven by lower NII as well as the impact of mark-to-market valuation changes on certain investments on NIR. Legacy franchises were driven by the impact of Mexican peso depreciation, expiration of TSAs in our closed exit markets, and continued reduction from our wind-down market. Expenses declined 17%, driven by a smaller FDIC special assessment, absence of a restructuring charge, reduction from exit markets and wind-down, and the impact of Mexican peso depreciation. And cost of credit was $359 million, largely driven by net credit losses of $256 million driven by consumer loans in Mexico. On slide sixteen, I'll briefly touch on our full-year 2025 outlook, which we've adjusted for the impact of the card transaction processing fee presentation change that I mentioned earlier, but is otherwise unchanged. As you know, in January, we provided guidance for full-year revenue and expenses as well as card NCLs. And that guidance was informed by a number of scenarios and assumptions. Based on what we know today, and assuming markets remain open and constructive, we still expect to deliver full-year revenues of $84.1 billion, with net interest income excluding markets up approximately 2% to 3%. And we expect full-year expenses to be slightly lower than $53.4 billion. Clearly, there remains a lot of uncertainty, but we are confident that our diversified business model and resilient strategy can withstand many environments, and we remain well-positioned to support our clients. So while a lot is changing around us, we remain steadfast and focused on continuing to execute on our transformation and strategy while remaining disciplined with our expenses and capital with an eye towards improving returns over time. And with that, Jane and I would be happy to take your questions.
Operator: At this time, we will open the floor for questions. If you'd like to ask a question, please press star five on your telephone keypad. You may remove yourself at any time by pressing star five again. Please note you will be allowed one question and one follow-up question. Again, that is star five to ask a question. And we'll pause for just a moment. Okay. Our first question will come from the line of Glenn Schorr with Evercore. Your line is now open. Please go ahead.
Glenn Schorr: Hi. Thanks very much. I know it's early, but I'm curious if you could help us with a refresher on treasury and trade solutions and services in general in terms of what opportunities you know, there's risk, but also opportunities in helping clients manage through this re-tariffing and redrawing of economic lines. You know, I think about nationalization and vertical integration as bad things, but a lot of shifting and maybe you can help clients deal with all that shifting. But any help there would be great.
Jane Fraser: Glenn, I would be delighted to do so. So our diversified business mix is very well positioned for a variety of scenarios. So you think we've got a very broad suite of products and services, and they are the ones that clients need if they're going to be repositioning for a new order in trade or broader impacts here. And think about what you've seen over the last few years where we played a very central role in the Ukraine-Russia war, China, the COVID-related supply chains. We saw a lot of growth from deepening with clients and acquiring new ones because they need us. Because we have exactly the expertise and the products and services that multinational institutions need, and we have them in the places that they need it. Now the mix of those different, the revenues, different products, and services we have could be different depending on which scenario prevails. And what I have to say at the moment, the level of engagement that we have with our clients all around the world is just off the charts. Given the unique depth of our presence and the insights we have in all the markets. So if I dig down a bit more, what would the persistence of high tariffs mean? Well, it would dampen economic activity here in the US and abroad. Cross-border trade flows will change. We'll be in the middle of facilitating that. So we expect to be very busy there along with the hedging and associated financing activity that goes with it because it's not just about TTS. This is about the bundle of different capabilities we bring to bear. And take some comfort. Look at what happened with the Ukraine war. We grew a lot in that time period. Equally, most of our business is very local. Think of what services is. It's payroll. It's supply management. It's liquidity. It's payables. It's receivables. And we're very deeply embedded into our clients' day-to-day operations in every market they work in as well as across market flows. And that's not going to change. It's not nearly as sensitive to tariffs. And I would say, I think all of us recognize the environment is very fluid right now. So let me also just say for clarity's sake, at the firm level, our ROTCE targets for 2026 are still 10% to 11%. The drivers behind them are the same. But the revenue mix might be different. We'll certainly know more as things get clearer as to how that plays out. I think, actually, the other thing you mentioned about nationalization, most of our clients have been clients for decades. I mean, a number of them have been clients for over a century. And it would not be an understatement to say that we are deeply embedded into them. I mean, it is extraordinary how deep we are. We've been on the ground for over a century, and we are viewed as quasi-local in most of these markets. Citi is not a bunch of suitcase bankers that fly in. We're not transactional. We're very unique in the footprint. And these factors do make us less vulnerable to the different geopolitical dynamics that are going on.
Glenn Schorr: Thanks for all that, Jane. I'll see you at four.
Operator: Our next question comes from the line of Jim Mitchell with Seaport Global. Your line is now open. Please go ahead.
Jim Mitchell: Hey, good morning. Maybe, Jane, just following up on that conversation, and you talked about leaning into being a port in a storm and leaning into it. So I guess in the nearer term, are you seeing sort of demand already in terms of your balance sheet, whether it's raising liquidity and deposit flow, like sort of flight to safety deposit flows and sort of the trading aspect of it in from this volatility in April, have you sort of already seen greater demands from clients?
Jane Fraser: What I'd say about the clients at the moment, you know, you're seeing deals still happening. We've done a number of them as we've talked about. Even over this last weekend, we were pretty busy. But I would say that most clients are pausing their plans. No one is taking bets in the market right now. We're seeing them prep for more headwinds. So we're seeing some bolstering of already strong balance sheets. Remember, our client base isn't the smaller companies in the mid-market that are going to get more pummeled in this type of environment. So our clients are getting ready. We're seeing some accelerating of import to stockpiling the trees. We are seeing a pausing on significant CapEx while everyone waits to get clarity on the full agenda. And in that full agenda, remember, there's a tax bill, these deregulation actions. Now these are some positives that will be coming. It's a very big agenda. Clients appreciate it's going to take time. In terms of the trading side, what we're seeing is it is pretty orderly out there. There's a lot of complicated dynamics happening. But it's not being catalyzed by liquidity, you know, crisis or other things going on. You know, let's not fight the last war. The issue we're tackling at the moment is something different. And we're seeing clients taking the opportunity to de-risk. We are. Others are. So that if we have more turbulence ahead, everyone's in a stronger position for it, and that is a good thing. It's early days, Jim. We've got to see how this unfolds.
Jim Mitchell: Sure. No. I appreciate that color.
Mark Mason: And then maybe for Mark, I mean, you highlighted at least on a period-end basis, deposit growth and commercial loan growth looked pretty good. On a period-end basis quarter over quarter. So I guess when we think about the NII assumptions, deposit and loan growth looks good, but you know, anything different given the strong start to the NII ex-markets story and seemingly some good momentum in deposit and loan growth. Do you feel good, better, worse on sort of your NII outlook for this year?
Mark Mason: Good. Thanks, Jim. You know, look, I continue to feel good about the NII outlook. There's obviously uncertainty that Jane has referenced, but that 2% to 3% ex-markets, we've talked in the past about what the tailwinds and headwinds are. And you referenced we saw some of that play through in the quarter in terms of deposit volumes. We saw good operating momentum in our services business. In TTS in particular. The loan growth, we saw not just in average interest-earning balances on the branded card side, but also saw trade loan growth as well. And so those are going to be important tailwinds as I think about the balance of the quarter. You've heard me reference as well reinvestment for maturing securities in our investment portfolio into higher-yielding assets including cash. And you can see that on the balance sheet that some of that started to take place as well in helping deposit spreads. And then the team has been very, very engaged as it relates to deposit repricing and managing beta through the current environment. So the combination of those things along with the removal of the reduction of late fees are really the tailwinds that contribute to that 2% to 3% growth. And then there's some headwinds, so lower rates on floor floating rate assets would be a tailwind. The potential of FX translation primarily in Mexico. But net-net, I feel good about the 2% to 3% growth in NII ex-markets.
Jim Mitchell: Okay. Great. Thanks.
Operator: Our next question comes from the line of Mike Mayo with Wells Fargo. Your line is now open. Please go ahead.
Mike Mayo: Hi. I just wanted to continue the discussion about, you know, on one hand, your port in the storm, you've been embedded decades and you're not a bunch of suitcase bankers. So that message has landed. On the other hand, I mean, you are the bank that facilitates global trade in the middle of a global trade war. And so I think the concern is not just the possibility that revenues will nosedive, but that credit will implode or as I've heard many, many times that Citigroup is going to stub its toe. Just a hundred countries, in the mix of it all. What else can you say in addition to what you said to either reassure investors that the oversight is strong or that you have your arms around the situation the best that you can again, recognizing that it's a fluid situation. Thank you.
Jane Fraser: You've seen us perform extremely well over the last few years in the face of pretty wrenching changes in the global economy. You've seen it with, let's say, the shifts in the supply chains after COVID and then between the geopolitical tensions going on. You saw it in pretty significant changes that were happening from the Russia and Ukraine war. And you see us exactly as that where we are where the clients come. It's hedging for foreign exchange, interest rates, commodities. You see it for how they're looking at changing their finance. We are helping them reconfigure the flows. So from that point of view, we are the active agent in a lot of this mix. And we are a port in the storm, as I said, Mike, we've got a very strong balance sheet, capital, and liquidity to deploy. We have been the big strategic changes and organization changes behind us, and they're enabling us to be on the front foot. And this is a firm that is much more agile and able to respond and be much more focused on clients right now. So I feel good about this.
Mark Mason: Yeah. The only thing I'd add, I mean, Jane, you're spot on. Right? We come in with a strong balance sheet. Strong capital, strong liquidity. If you think about your point around credit, Mike, we've said repeatedly and you can see it in the numbers, we skew towards the higher investment-grade larger multinationals who also come into this with strong balance sheets. We've been very disciplined about that risk framework, our risk appetite, both on the corporate side as well as it relates to our consumers. And then what we tend to see in times of stress is a flight to quality as it relates to deposits. And so again, depending on how this evolves, we're well-positioned to manage whatever the needs are of our clients, whether that be lending needs or the storing of liquidity, and we're very well reserved to manage whatever credit risk may come with that despite us being skewed towards higher quality names in both of those demographics.
Mike Mayo: Okay. The flip side of this is you did say the drivers are the same. They might be different in magnitude to take you from where you are now. You had over 9% ROTCE in the quarter. You said you're on track to get to 10% or 11% next year. Can you put a little meat on the bones, kind of a verbal waterfall chart if you would, or maybe some numbers around org simplification, stranded costs, productivity savings, do we get from the 9% in the first quarter to that magical double-digit return target for next year?
Mark Mason: Again, as we talked about before, it is a combination of continued momentum on the top line, and this is Jane's point around how that mix may evolve. But you know, the 3% plus that we're expecting this year, and again in 2026 is an important contribution to that. You often see in our business where one business may be under pressure, the other one tends to outperform and overcompensate, whether it be banking fees and how those evolve, but volatility that may come with that that uplifts the market's business. So that continued focus on top-line performance will be important. You've heard me reaffirm the expense target for 2025 in terms of getting down to the $53.4 billion. We still have a path to getting less than $53 billion in 2026. That will be important. Obviously, if revenue softens there, we will see expenses come down in tandem with that. Combination of volume-related transaction costs, but other levers that we will look to pull in the productivity savings we expect to come from prior investments is an important aspect as well. And then we've continued to optimize the use of our balance sheet. And the capital that we have. You see that we have brought our CET1 down to 13.4%. We're continuing to return capital. Those become very important aspects to getting to that target. Now look, it's uncertain. And how the world evolves is hard to forecast at this point. Right? So could a stressed macro environment create an impact on credit and the build of reserves? Absolutely. Right? That could happen towards the end of 2025. If it does happen in 2025 and losses end up showing up in 2026, they end up being self-funded, so to speak, by the reserves that would have been established. So you know, we sit here today and as Jane mentioned, you know, with seeing nothing that would suggest that we shouldn't be targeting the 10% to 11%, so we remain committed to that 10% to 11%. There's a path with the combination of those levers that I've mentioned. And importantly, this quarter is yet another proof point that our strategy is resilient, that we've got the right team on the ground to execute against it, and that it's showing up in our numbers, and it's showing up in our returns.
Jane Fraser: And I just remind everyone, we're a very different bank than the one we were a few years ago in terms of our business mix, our risk profile, and all the investments we've made into the business. And I think you can see us managing the bank, doing what we say we'll do, and please take some confidence in that.
Mike Mayo: Thank you.
Operator: Our next question will come from the line of Ebrahim Poonawala with Bank of America. Your line is now open. Please go ahead.
Ebrahim Poonawala: Hey. Good morning. I guess Mark, just wanted to on slide nine in the capital waterfall, I guess we're all thinking about what buybacks can do in the second half of this year. So if you don't mind, one, the RWA sort of dragged the thirty-two basis points. Is that normal as we think about what the RWA consumption should look like? Just talk about that in the context of getting to a 13.1% CET1 by the end of the year. And how we can back into the pace of buybacks.
Mark Mason: Yeah. So I'd say a couple of things. So one, last quarter, we announced a $20 billion share repurchase program. And we continue to feel good about that program as you would expect. And we show we increased our buybacks this quarter, I should say, to the $1.75 billion seeing the strength of the performance that was playing out through the quarter. And so those are both, I think, indications of our continued commitment to returning capital to the shareholders. We're clear on where we're trading. And we're clear that that is a smart thing to do once we've funded demand from a client point of view across our businesses that's accretive to returns. And so the RWA consumption is tied to that demand that we see. We think we've seen good client demand across the platform that's helped drive the top-line momentum that you see in each and every one of our businesses that's helped to drive the improved returns that you see in the quarter in each and every one of our businesses and accretive in returns we'll be looking to meet that as a first priority. We are targeting the 13.1% by the end of the year. But as you know, we'll get a new stress capital buffer in June on the heels of the DFAS CCAR work that's just been submitted, and we'll have to see what that tells us. That's hard to forecast. As you well know. And so based on what that tells us, we'll inform that downward trajectory but that is what we're focused on. The combination of funding growth that's accretive to returns, and returning capital to shareholders in a way that's consistent with that repurchase program.
Ebrahim Poonawala: Understood. I guess you mentioned, I think, in your prepared remarks, the reserves on the card book went up to 8.2%. Remind us, I mean, I think in the genesis of both questions is I think there's a fragility to your ROTCE guidance for next year that I think makes investors nervous. And I'm just trying to get to the pieces around buybacks and then in terms of credit, like, how what's baking in around the unemployment rate? What would cause you to ratchet up provisioning in the near term? What kind of an empty job market deterioration do we need to see for the credit outlook to deteriorate fast and materially? Thanks.
Mark Mason: Yeah. Let me take that in a couple of different pieces. So the first thing I'd say is that, you know, as I look at our credit exposure and I look at the consumer, you know, the consumer continues to be resilient and discerning in their spend. And in fact, we did see, you know, spend hold up in the quarter and we saw a spend actually increase in our branded card portfolio up about 3%. The consumer has, you know, we've seen a shift towards essentials and away from travel and entertainment. There's certainly, you know, a general performance that's consistent with what we've expected when we look at delinquencies, when we look at the loss rates that played through the quarter, there are no surprises there as we think about that.
Jane Fraser: And they both performing in line with that as well. Thank you.
Mark Mason: Yes. And April has been consistent with that. As we think about reserves, you know, we ended the quarter at about $23 billion of reserves across the entire business. That's about a 2.7% reserve to loan ratio. When I look at the drivers of that, as you know, when we establish when we do our analysis on a quarterly basis, we have three scenarios that we run, a host of other stress scenarios, but those that inform the CCAR analysis to three scenarios. The base case scenario, there's a downside scenario, and there's an upside scenario. And as we looked at the macroeconomic outlook and the key variables that go into those scenarios, we assume the deterioration in that macro outlook. And we increased the probability or the weighting towards the downside scenario in light of what we were seeing in the macro environment. When you look through to some of the key variables or one of the variables you referenced, unemployment. The average unemployment rate was 5.1% across those three scenarios. The unemployment rate in the downside scenario, the average was 6.7% across those eight quarters. And so we've assumed some pretty meaningful shifts in unemployment, particularly on that downside, you know, in our analysis. That informed the increase in our ACL reserves that's referenced in the deck. And that increase was offset a bit by the sequential reduction in volumes that is somewhat seasonal. So hopefully, that helps. I feel we feel good about those reserves based on what we know and our current view of the macroeconomic environment. And we'll obviously do that on a quarterly basis as things continue to evolve.
Ebrahim Poonawala: For walking through that. Thank you.
Operator: Our next question comes from the line of John McDonald with Truist Securities. Your line is now open. Please go ahead.
John McDonald: Thank you. Hi, Mark. Wanted to ask you about capital optimization levers that you have to you've done made some good progress in RWA mitigation. Is there still some room to go there? And then also, could you maybe increase the pace of DTA utilization to reduce the TCE density in a way to help the ROTCE goal?
Mark Mason: Yeah. Sure. So look, we're always looking at opportunities to further optimize the use of capital, you know, in markets we've talked about last year, a lot about the revenue to RWA as a tool that we've been using there. That's continued to increase that metric and ratio. We continue to look at are we optimizing balance sheet and getting the broader revenue streams we'd expect from our client base, you know, when we do our corporate lending work and some of that is showing up in how we've now introduced the revenue sharing as a tool to ensure we're capturing broader revenues from clients where we're when we are using balance sheet. So we're constantly working through this and identifying opportunities to ensure we're getting the highest return on that. You know, in fact, if you look at some as you look through the material we provided, you'll see that in light of the improvement we've seen across all of our businesses last year, as well as our forecast for growth this year, there, in fact, is a shift in the TCE. And so the allocated TCE has gone down for many of these businesses because they have shown good PPNR growth, good profitability. And so as we stress test it internally, the stress losses with the businesses have in fact come down. Now obviously, we have to adhere to the regulator stress test, and so that shifted from the businesses, you know, into corporate other, but it is a positive sign as we think about how the stress capital buffer might evolve and as we exit different parts of the franchise, you know, the underlying segments are already showing that improvement that would suggest lower levels of stress losses. And so that's another important point that we diligently manage even if we can't control the impact at the top of the house. Your point around DTA, we continue to focus on bringing the DTA down. As you know, that is largely driven by our ability to generate more US income which we're also very focused on. We did see a pickup this quarter, which is really just a timing difference pickup. It happens in the first quarter of every year. It is tied to, you know, deferred compensation and loan loss reserves. As timing difference DTA. And as we earn more income through the balance of the year, and obviously create income tax liability, it will utilize that increase we saw or offset that increase we saw in the first quarter here. We are targeting, you know, bringing that down, you know, in 2025 and in 2026, you know, to in order to contribute to optimizing capital.
John McDonald: Thanks, Mark. And I wanted to ask Jane about the Banamex IPO planning. Just an update on where that stands and assuming that marketing conditions create some risk to the timing. Is it fair to say that there are pros and cons from the shareholder perspective to holding on to that business longer given that it's a profitable entity?
Jane Fraser: Look. First of all, we continue to be on track with the preparation for the IPO, John. I was just down in Mexico last week, and the team's fully focused on driving Banamex business performance. I was very pleased to see improvements in not the underlying drivers of their performance when I was down there. And they're also focused on getting the work done to be able to go public things like the prepared audit financial statements, or filling the various regulatory requirements. Have we told them we want to see the business performance improving, and we want to make sure that we are doing everything in our control to be in a position to IPO by the year-end. And you know, to the second part of your question, we will always look at what we believe to be in the best interest of our shareholders. We believe that the best interest of our shareholders is to be up to IPO this business. We think that is the right thing. It fits with Citi's strategy for all the reasons we've talked about in the past. We're the best owner of the corporate franchise we have there. We are not the best owner of a domestic bank. So the timing of when we IPO will be driven by market conditions. It will be driven by the timing of regulatory approvals. So that could move that from 2025 into 2026. We will always be guided by what we think will maximize value for our shareholders.
John McDonald: Great. Thanks, Jane.
Operator: Our next question comes from the line of Ken Usdin with Autonomous Research. Your line is now open. Please go ahead.
Ken Usdin: Thanks. Good morning. Wanted to follow up on the points you made about consumer hanging in there through April. Mark, you mentioned that there could be more uncertainty as we get later, but you believe, you know, you're still intact with your charge-off guides for the year. I think that just noticing retail services wise, I think, expectively higher than the high end at 643. Can you just remind us again how you're expecting the cadence of credit card losses to traject for both branded cards and retail services as you go forward? Thanks.
Mark Mason: Sure. Again, we do obviously feel that we are well reserved here. We did expect to see, you know, a pickup in the first half of the year before trending down, you know, in the back half of the year. And so that's kind of the, you know, the cadence that we'd expect between now and the end of the year. The first half is usually seasonally higher than the back half of the year, and you see that in retail services. I would also point out that and you can see it in the deck in the I think it's the second page of the appendix, but also in the supplement. You are starting to see the delinquency buckets. We show the ninety-day plus delinquency bucket starting to trend down in retail services. That is also, you know, an important indicator in terms of how we look at, you know, the expected losses, if you will, you know, in the go forward. And so that seasonality, as well as that trend, is a good sign.
Jane Fraser: We've also I think one of the pieces Gonzalo and the team have done a good job with is they've been proactive in tightening risk in acquisitions and existing programs in the last couple of years. I think that also puts us into another reason where we feel, you know, in a good position as we head into whatever lies ahead.
Ken Usdin: Yep. Very good. And one just to a follow-up on NII and your outlook, did you make any changes to it, including card fees still in the NII guide? Does that now removed? Is that still in there? And know there's a lot of puts and takes given the change in the forward curve if you can help us understand which curve you're using and some of the balancing act there, that'd be great. Thank you.
Mark Mason: Yeah. So our, you know, so look. The late fee impact is for us, is, you know, important. And we included it in the range that we had given and we still feel good. We've now removed it, obviously, with the changes that have taken place, but we have not changed our range because there's obviously going to be puts and takes that occur. It does have an impact on the retail services print that we have in the quarter and more importantly, the year-over-year that you see there of down 11% because as you know, we share profits with those partners. And so, you know, that down 11% that we see in the quarter is informed by, you know, last year where we had an assumption that the late fee rule was going to come into play and therefore we had less profits to share with our partners versus this year first quarter where we've assumed it would not come into play and therefore have more profits to share with our partners. And so important to point that out on retail services, which jumps out in USPB that it's unlikely that we see that downward percentage in the remaining quarters because it's really a byproduct of what we assumed last year versus this year on late fees. In terms of the curve in the NII guidance we gave, we assumed two to three cuts. We're now assuming, you know, a fourth, but given the timing and that it would be back-loaded in the year, it doesn't have a significant impact on the NII guidance that we've given, you know, the 2% to 3% ex-markets.
Ken Usdin: Okay. Great. Thanks, Mark.
Operator: Your next question comes from Betsy Graseck with Morgan Stanley. Your line is now open. Please go ahead.
Betsy Graseck: Hi. Good morning.
Mark Mason: Good morning.
Betsy Graseck: Hi, Betsy.
Betsy Graseck: Hi. Two questions. Just first on the buyback, I noticed you know, you came in at $1.75 billion. Is that right this quarter?
Mark Mason: Yep. Yep.
Betsy Graseck: And I know you indicated that you're looking to keep pace, and I'm wondering, does that mean at $1.75 billion, or does that mean keep pace with the increased q on q, which was, you know, a hundred and fifty-six million and so that little I know you're laughing up. Just trying to understand how you're thinking about that given, you know, what we discussed last quarter, which is you have so much opportunity here for buyback and the accretion is so powerful. So you don't mind.
Mark Mason: Yeah. Sure. So look. We're, you know, we're targeting a similar level. You know, as you know, we've been working to we brought it down twenty basis points this quarter. We're still focused on bringing it down to thirteen one. There is uncertainty. The uncertainty is multifaceted in some extent, you think about the uncertainty with the SCB. We'll hopefully get some clarity on that. You know, as we often do in the summer. And that will inform, you know, the pace at which we bring that down. And then there's the broader market uncertainty, and we want to obviously be there to support clients and the demand that may come on the heels of that. And so, you know, this quarter, like I said, similar level of share repurchases. Twenty billion dollar program that we will continue to work through. SCB clarity soon, hopefully, favorable clarity. And we're steadfast focused on it. I don't know if you want to add anything to that.
Jane Fraser: We like giving shares back to back in, buying them back, and giving capital back to our shareholders. So it's a priority for us, will continue to be.
Betsy Graseck: Okay. Excellent. Thank you so much. And then Jane, just separately, on slide two, you identify the main priorities for 2025 and 2026, many of which we've talked about here this call. I just wanted to understand from your perspective on the transformation how far along do you feel you are in the modernizing your infrastructure? And what kind of time frame do we have to go from here to check the box on that one? If you ever can check the box. And then separately on the commercial banking segment, if you could just give us some insights there too. Thank you.
Jane Fraser: Okay. There's a lot in there. So as you remember, the transformation is a very large body of work. We're overhauling our infrastructure. We're reducing and modernizing our applications. We're simplifying our processes as of addressing the different root causes of what helped us back thoroughly. And once and for all. And I feel good about the progress we've made. We're seeing more and more of the benefits into how we run the bank. As you know, we fell behind in data. We've taken action to get that into shape, and we're confident in how that's now progressing. In many parts of risk management compliance programs, we're already operating at or close to the target states. So our focus is now ensuring we're delivering the risk reductions and the outcomes in a sustainable way. And I'm excited about the work we've been doing in making sure that our technology and our overall control environment is what we call modern and simple. We're simplifying and standardizing controls across common activities. We put a lot more preventative and detective controls in place. We're upgrading others that weren't effective enough. We're driving automation, we're driving straight-through processing of our end-to-end processes across the bank. And, you know, you've heard us talk pretty consistently over the last couple of years about the work to make technology infrastructure onto consolidating onto single platforms, retiring legacy applications. So I'd say where we are as many of the efforts are now impacting how we run the bank better and more efficiently and in a much more controlled way. There's still work to do, and as you say, I'm not sure any bank finishes its modernization because the pace of innovation is there. And we're still innovating and investing in supporting our businesses with new innovations in different areas, talk briefly about AI, a lot of work and services there, USBB and Andium wealth. So there's a lot going on. I think you can tell I'm pretty excited about it. I'm pleased where we're headed and at the pace we're heading.
Betsy Graseck: Thanks so much.
Operator: Our next question comes from the line of Erika Najarian with UBS. Your line is now open. Please go ahead.
Erika Najarian: Hi. Good afternoon. Just a follow-up question here. On the buyback pacing. Your message has been pretty clear about the first half versus the second half. That said, with the stock at $65 versus tangible book at $90, I guess, are you just so scared of from the volatility of the SCB result that that just must be a hurdle before you can accelerate the buyback? And, Mark, perhaps you know, if you could sort of dispel some of the notion that sometimes happened in some of these, you know, chats with buy-siders about, you know, your inability to dividend from the bank sub to the holding company in order to increase your buybacks over the near term. If you could address that too, that would be great.
Mark Mason: Yeah. Sure. So look, we have accelerated the pace of buybacks. And, you know, I think this quarter's a good example where I'd guided, you know, $4 billion five hundred, and we kicked it up to $1.75 billion. And I think you should expect that, you know, as we see opportunities to continue to do that, that we're going to do it. And you should expect that, you know, given where we are trading relative to book value, that you know, we're constantly, you know, focused on those opportunities to take it up more, you know, than we had planned. Or more than expected. Look, I think we are, you know, we have seen a lot of volatility in the SCB. And we're not the only ones other players in the industry have as well. I think we're encouraged by the dialogue that we're hearing, but there is still some risk to the SCB, you know, coming in different this year versus last year. And I think, you know, I don't think we should lose we're not losing sight of that. So we'll get more clarity when the SCB comes. I think that'll be important. We obviously are generating good earnings quarter after quarter, which obviously creates the capacity for us to do more here, and I think we've evidenced a willingness to do that. I think in terms of your other question with regard to your question implying whether there are any restrictions, we don't have any restrictions on a buyback. Like, we would not have announced a $20 billion buyback program if we didn't think we could execute the program in a reasonable amount of time. And so, you know, obviously, we disclose what we dividend out from the bank, and you can look at that over the last three years. You know, we've dividend ranged somewhere in the range of zero to $5 billion in any given quarter. But, again, there are no restrictions imposed by the FRB, which governs the parent, on the ability to pay dividends and buyback stock. In addition to that, we have multiple sources of funding, including loans to subsidiaries, which could be remitted as well as debt issuance programs as well as the earnings that are generated that put we are well-positioned, you know, to do to execute on the program that we've described. And to continue our desired pace of buybacks.
Erika Najarian: Got it. And just my second question, Mark, did you know, you mentioned the four cuts that's now embedded in your NII outlook. I'm guessing that's for the US. How should we think about how you're thinking of global rates? You know, obviously, it's a basket of countries and currencies that we have to think about. And, you know, if your top exposures are exposed to lower rates, how should we think about deposit spreads in services from here?
Mark Mason: I think I'd say I guess the easiest way to answer the question, you know, the IRE analysis that we show on a quarterly basis and, you know, there are a lot of that's obviously a risk measure. You know, there are a lot of limitations associated with, you know, with taking it too deeply, taking it too literally. But as you know, it is a, you know, a view on how lower rates could impact Citi over a twelve-month period. It assumes a static balance sheet, no growth, no change in composition or mix, or no or changes in our hedging action, and it is an instantaneous, you know, shock to the entire curve. With that said, we do break out the impact for US dollar versus non-US dollar. Remember, as you just referenced, you know, there are over sixty currencies, but that asset sensitivity would suggest that with a in the fourth quarter, with a hundred basis point move, across the currencies that the non-US dollar impact would be a billion dollars over a twelve-month period. And so that, you know, take that with a grain of salt, but that gives you some sense as to the sensitivity to rates that would assume all of those currencies and rates in those countries moved at the same time across the curve. And we did nothing to actively manage or dynamically manage the balance sheet.
Erika Najarian: Got it. Thanks.
Operator: Our next question comes from the line of Vivek Juneja with JPMorgan. Your line is now open. Please go ahead.
Vivek Juneja: Thanks for taking my questions. A couple of them as follow-ups to questions that have been asked. First one for you, Mark. The dividend doing buybacks, so the dividend being from the bank to the holding company that we've just asked. How much are you willing to let your double leverage go up? Is there any sort of internal limits that you follow? What would be the implications of that from a funding cost standpoint?
Mark Mason: Yeah. Look, we have internal limits. We have management action triggers internally. We're not anywhere close to those limits or triggers. You know, it's not something that I'm worried about as it relates to, you know, the buyback program that I have and or, you know, the buyback that we forecasted, you know, over the balance of the year.
Vivek Juneja: Jane, you know, hearing about all the turmoil and reading some news stories about mandates being shifted from US broker-dealers to local players. Jane, are you concerned about that? Is that a shift that's starting outside the US? And for big players like yourselves and others, who are widespread globally, does this start to create stronger competitors or move some business away over time?
Jane Fraser: No. It doesn't. We haven't seen any shifts of business away from us. And just remember the nature of our business. These are many of these markets around the world we've been in for over a century. We were the first bank in. Sometimes we're the only international bank. And we truly have a unique footprint that we are everywhere, and we're able to connect everything, everywhere. And there aren't other banks that have this. They don't have the scale. They don't have the depth of local capabilities. They don't have the risk management skills. They don't have all of these different elements that the clients need now. And they need in this type of environment where things are shifting around, it's very easy to move your supply chains around on our platform. To shift the mix of different businesses you're doing in different geographies. And as I said, a lot of the work we do is very local, and we're at the cutting edge and leading edge in services both in TTS, custody in particular. Our corporate bank has got very strong, deep relationships. We've got balance sheet strength. So you tend to see flights to quality in these environments. And when you're in the emerging markets, there's only one word for quality, and that's Citi.
Vivek Juneja: Okay.
Operator: Our next question comes from the line of Gerard Cassidy with RBC. Your line is now open. Please go ahead.
Gerard Cassidy: Hi, Jane. Hi, Mark. Mark, you touched on in your opening comments about the seasonal increase in trading-related assets. And the number the growth was very strong. Was there any types of strategies that you guys employed? Because when you go back in other seasonal periods, you know, first quarter of prior years, we've not seen this kind of growth. So what led to this kind of success of growing your trading assets so well this quarter?
Mark Mason: Yeah. Again, it's the growth you've seen across the platform in both, you know, fixed income as well as equities. And so, you know, that equities growth obviously of 23%, strong performance in derivatives and prime and prime balance growth, you know, tied to that, particularly with, you know, hedge funds and asset managers as they, you know, looked at, you know, regional reallocation, strong contribution there. And then, you know, rates in current. And then we saw a lot of good spread product momentum driven by, you know, higher client activity and loan growth. And so, you know, the nature of the activity, the structure of the product, and what have you were all contributing factors there. Really strong performance across the business. And obviously shows up in, you know, both the assets and the trading assets and the trading liabilities in the funding mechanisms associated with that.
Gerard Cassidy: Very good. And then as a quick follow-up, you guys give us good details about the allocation of equity. I think it was Slide twenty-three. I was curious, I noticed that you lowered some of the total equity doesn't change, of course. But you did lower the allocation of the equity for different lines, like wealth and banking. What was the thinking behind lowering it in the first quarter relative to 2024?
Mark Mason: Yeah. So as you probably know, Gerard, we kind of look at this on an annual basis. It's a process that we run, and we run it at the end of the year with an eye towards how we want to make adjustments in the year that's following. As we looked at the performance of the business, overall, our five businesses have improved their PPNR. And their profitability. And therefore improving their resiliency in stress scenarios. And reducing their stress losses. And so as we thought about that underlying strength that we saw as well as our forecast for what demand would be through 2025, those were important factors in that allocation or that attribution to the businesses for TCE. So in a way, they're getting the benefit of that improved resiliency even before it shows up in our stress capital buffer. Alright? And so each of the businesses we talked about markets as a great example. We've been talking about optimizing use of capital, revenue to RWA, and the improvement, all that year, we talked about that. And you see that showed up in their performance but also showed up therefore, in the amount of TCE allocation that they have this year. So, hopefully, that helps. Obviously, regulatory capital hasn't changed in the aggregate, that's comprised of the RWA, GSIB, and stress capital buffers. But over time, we'd expect as we've talked about our strategy, we'd expect the exits to obviously continue to come off the balance sheet. And we'd expect our strategy and the resiliency of our PPNR and the steadiness of those earnings to ultimately show up in our stress capital book.
Gerard Cassidy: Great. Appreciate the color as always. Thank you.
Mark Mason: Yep.
Operator: Our next question comes from the line of Matt O'Connor with Deutsche Bank. Your line is now open. Please go ahead.
Matt O'Connor: Hi. Just a follow-up on the expenses, came in a bit lower than expected one q even ex the accounting change. What's your thought process for the rest of the year? Because what I'm getting at is often one q is the high watermark. So if you trickle down a little bit from here, you know, that would imply cost coming in a bit below what you're at what you're expecting. You just talk about the trajectory for here? Thanks.
Mark Mason: Sure. So, again, I gave I kind of stuck to the guidance that we'd given in January. So expenses, $53.4 billion for the full year. We did come in, you know, at $13.4 billion in the quarter. I kind of went through the puts and takes around that. I'd expect probably a bit of a tick up in q2 when I think about the things in front of us and some of the continued investment that we plan to make in transformation and some of the other, you know, things underneath that, like data and right reporting. And then I'd expect it to trend down so that we get to the target of the $53.4 billion that I referenced for the full year. And so likely see a tick up and then a trend down and landing the full year at the guidance here. Obviously, if, you know, revenue moves sorry. Go ahead.
Matt O'Connor: No. No. Please ask.
Mark Mason: I'll say, obviously, if revenue moves in either direction, we'll adjust accordingly. We have upside to revenue. You'd expect to see some of that variable in transaction cost move in that direction as well. And if we see pressure on revenues, we'll be focused on ensuring that we are, you know, bringing our expenses down as well.
Matt O'Connor: Okay. And then just any way to frame how much cost will go up from one q to two q based on what you're thinking now?
Mark Mason: Nope. No. I'm not giving second-quarter guidance beyond what I've factored into the full year at this stage.
Matt O'Connor: Okay. Fair enough.
Operator: Alright. Thank you.
Mark Mason: Thank you.
Operator: Our next question comes from the line of Saul Martinez with HSBC. Your line is now open. Please go ahead.
Saul Martinez: Hi. Thanks for taking my questions. Just following up on the expenses, your 2026 target of a 10% to 11% ROCE, I think you're targeting expenses being below $53 billion. Should we I assume with the accounting change that should recalibrate to being below call it $53.5 billion is that or $52.5 billion. Sorry. Is that, you know, a fair assumption or conclusion from that?
Mark Mason: Sure. $52.6 billion. So that's the last $52 billion down. Yeah. Yeah. I bet. But yes. I mean, I mean, it's, you know, the it's a change in line item in terms of that association fee, and sure, I targeted 2026 as less than $53 billion. And with that $400 million, sure, you can deduct that from the $53 billion.
Saul Martinez: Got it. Just wanted to clarify that. And then I guess secondly, on wealth management, the net new assets are, you know, pretty impressive. Then an h rent, $16.5 billion, I think, you know, it's something like 11% of beginning period of client assets over the last couple of quarters. So it seems like Andy is, you know, really delivering there. Just anything in, you know, strength across the different products. But anything you want to highlight there as to what's driving that and any comments just on the durability of that kind of momentum?
Jane Fraser: The strategy that Andy's laid out and talked about is working. We've got the franchise very focused around that new investment asset. Bringing those in from the $5 trillion of assets that are off us with existing clients as well as new wealth that is being created and new clients that we're bringing to the franchise. And so we are I am I'm very pleased as well with the caliber of the team. That he has brought to bear here. We've got real horsepower and firepower in our investment capabilities. And he's also investing to improve client experience a new relationship with Palantir here as well. And it's a team that's on the front foot. And in this environment, around the world, clients are really looking to ask for advice because there are not many global wealth managers. They're looking to ask for a global perspective, capabilities we've got on the ground, all around the globe. And helping put them into a good position amid the uncertainty. So we are a destination of choice right now, and we're taking full advantage of it. I don't see that changing. This is the strength of Citi's strategy is working.
Saul Martinez: Okay. Great. That's good to hear. Thank you.
Operator: There are no further questions. I'll now turn the call over to Jennifer Landis for closing remarks.
Jennifer Landis: Thank you all for joining us. We appreciate all the questions. Have a great afternoon.
Operator: This concludes the Citi first quarter 2025 earnings call. You may now disconnect.